Patricia van de Sande: Good morning. I’m Patricia van de Sande, Vice President, Investor Relations and Compliance for Parkland Fuel Corporation. At this time, I would like to welcome participants to Parkland's Results Conference Call for the Second Quarter 2016, with President and Chief Executive Officer, Bob Espey; and Chief Financial Officer, Mike McMillan. During the call today, Parkland may make forward-looking statements related to expected future performance. Such statements are based on current views and assumptions, and are subject to uncertainties, which are difficult to predict, including expected operating results, industry conditions, etcetera. Certain financial measures, which do not have any standardized meaning prescribed by GAAP will be referred to during this presentation. These measures are identified, and defined in Parkland's continuous disclosure documents which were available on our website or SEDAR. Please refer to our continuous disclosure documents as they identify factors, which may cause actual results to differ materially from any forward-looking statements. For today's call, Bob will share an overview of the quarterly results while Mike will provide more color on the results for the quarter. Bob will close with an update on strategy execution and priorities for the balance of 2016. At that point we will take your question. I will now turn over the call to Bob Espey our President and Chief Executive Officer to summarize the results from the second quarter.
Bob Espey: Good morning, and thanks Patricia. And welcome everyone to our second quarter 2016 webcast. I'm pleased to report that Parkland had a very strong second quarter with an adjusted EBITDA of 56.4 million and 2.5 billion liters of fuel and petroleum products delivered in the quarter. This represents a 66% increase in adjusted EBITDA and a 25% increase in volume compared to the second quarter of 2015. On a year-to-date basis, we saw relative 16% in volume and 27% in adjusted EBITDA. The outstanding growth in the second quarter of 2016 has been driven predominantly by our retail and supplying wholesale divisions. Our commercial division's adjusted EBITDA was down 23% against the second quarter of 2015, largely due to continued softness in economic activity and capital expenditures associated with new business wins. We anticipate the revenue from these wins to stream in over the next couple of quarters. Parkland USA was down 31% due to reduced economic activity but the team continues to build market share with 23 new account wins. Using the three key pillars of our five year strategic plan, Parkland has been able to grow to continue to grow in a challenging economic climate, again demonstrating the strength of our diversified business model. At this point, I'd like to ask Mike to walk through the second quarter financial highlights.
Mike McMillan: Great. Thanks, Bob. And I like to thank everyone for joining us this morning as well. Overall, the business performs very well in Q2 as Bob mentioned achieving 56.4 million in adjusted EBITDA, driven by strong performance in both our retail and supply and wholesale divisions. Pioneer continues to perform very well and tracking well ahead of plan. As the economic softness continues to be experienced in Western Canada and the Bakken and the US, are strong results this quarter are particularly noteworthy. We saw increases of 25% in overall volume delivering 2.5 billion liters of fuel and petroleum products compared to 2 billion liters delivered in the same quarter in 2015. The 56.5 million in adjusted EBITDA earned by the business this quarter marks an increase from the 34.1 million that was achieved in the same quarter last year. Our adjusted growth profit also increased by 35%. Let's now dive into each segment in a bit more detail which will highlight the benefits of our diversified business model. Our retail division performed extremely well with double the adjusted EBITDA in Q2 2016 versus Q2 2015 again led by strong performance in East and reflecting in the addition of the Pioneer business. Our retail division drove a same store convenient sales growth up 3% nationally and a 11% in the East. This remarkable same store sales growth in East is largely attributable to growth at Pioneer retail sites which both demonstrates our ability integrated business quickly and effectively and drives C-Store operational excellence. Our supply and wholesale teams made meaningful progress in our supply advantage resulting in a 70% improvement in segment adjusted EBITDA and a 6% increase in fuel volume compared to Q2 of 2015. The supply team has excelled in developing improved overall economics with a continuous focus and review of our supply operations logistics in arbitrage opportunities which positions us well for the future certainly and provide significant value to our shareholder. The Elbow River team continues to strategically execute on arbitrage opportunities and it's noteworthy that our crude, asphalt and fuel oil portfolio continues to perform well. Commercial volume was up slightly in the second quarter compared to Q2 2015, however adjusted EBITDA was down approximately 2 million or 23% year-over-year. The softness in the economy in Western Canada as Bob noted, continues to affect our commercial business with a decrease in rig activity counts of approximately 49% year-over-year. That said, the team has started delivering on the over 100 million leaders of annual propane volume that was announced in Q1 of 2016. Since then, the team has built and has built new branch offices in Bonnyville and Lloydminster, Alberta and installed approximately 14,50 propane tanks in Q2. That's also worth noting with this ramp-up that we incurred approximately $1.1 million of expense within the quarter. The revenue associated with this capital will continue to build throughout the fall and into the New Year. As Bob mentioned earlier, Parkland USA's earnings were down 31% versus Q2 of 2015, which we did expect due to a low drilling and related activity in the Bakken region with the year-over-year decrease and rig activity counts of 47%. The team continues to work very hard, tightly managing their operating cost to help offset the slowdown in oilfield activity and continues to build market share with 23 new account wins in the quarter. Our adjusted EBITDA waterfall gives you a side-by-side comparison for each of our operating divisions. As you can see our retail supply and wholesale divisions performed extremely well in the second quarter achieving 18 million and 9.5 million in adjusted EBITDA respectively. Commercial and Parkland USA did see decreases whoever the teams are executing well on the aspects of the business within our control, namely managing cost optimizing operations, driving efficiency and building market share. This is helping to partially offset the economic head wins that continue throughout 2016. And overall as Bob previously stated, we are very pleased with to report our year-over-year increase of 66% in overall adjusted EBITDA growth in Q2. Our year-to-date waterfall chart shows that our diversified business model continues to drive growth, as we've mentioned throughout the presentation this morning, our retail supply and wholesale teams have had a phenomenal second quarter with retail achieving excellent results in both Q1 and Q2 of 2016. At this point, I'll now turn it back to Bob to discuss our operational KPI.
Bob Espey: Thanks, Mike. The key performance indicators for each division are in place to help provide our investors with more insight into our business. And are cascaded throughout our organization to ensure all our team members are aligned around those matrix. Our retail division performed extremely well in Q2. Strong organic growth in our convenient stores with same store sales grows up 3% nationally and a 11% in anterior in a year-over-year basis. We also saw an increase in our trailing 12 month average site volume for both company and dealer site volumes which was 66% and 10% respectively. The improvement was driven by the Pioneer sites which have a higher average volume throughput in ongoing efforts to improve the productivity of our sites. Our commercial business has been impacted by prolonged economic softness in the West. Gasoline and diesel volumes decreased by 3% year-over-year, however our propane volume increased 20% year-over-year. Our operating ratio remains high despite managing cost effectively. We expect this number to start to improve in Q4 as we see the ongoing benefits of our productivity improvements. Our commercial team continues to win new business and gain market share through their continued focus on organic growth and service excellence. Parkland USA continues to perform well on the retail side with volume up 7% compared to Q2 2015. However, wholesale volume was down by 14% to 206 million liters due to the slowdown of drilling activities in the Bakken region. While our volume is down in Minot on a year-over-year basis. The team continues to gain market share and win new business. Mike will now discuss our corporate KPI performance.
Mike McMillan: Thanks, Bob. On the corporate side of our business, our back office team continues to work diligently managing costs and driving synergies. We saw an improvement of our corporate adjusted MG&A as percentage of consolidated adjusted gross profit to 7.7%, with improved economies as scale and cost management initiative. The dividend payout ratio and adjusted dividend payout ratio were 96% and 74% respectively. The improvements year-over-year were mainly due to higher distributable cash and adjusted and higher adjusted distributable cash in Q2, driven mainly by earnings and lower M&A integration costs. However, were partially offset by higher taxes, maintenance capital and share counts. Our total leverage ratio shown at 1.67 times also positions us extremely well to find our growth both organic and through acquisition. Our LTIs safety KPI also demonstrates our continued focus on safety throughout the business. I'll now hand the call back to Bob to give an update on strategy, execution and our priorities to the balance of 2016.
Bob Espey: Thanks, Mike. Overall, our performance in Q2 continued to deliver on Parkland's three strategic pillars, grow organically, acquire prudently and deliver a supply advantage. Parkland demonstrated our ability to grow organically through same store sales growth of a 11% in the East year-over-year and with the opening of new retail sites such as the dealer site in Whistler, BC. The commercial team is starting to deliver on the 100 million leaders of new annual volume in the West through two new sites, one in Bonnyville and one in Lloydminster, Alberta. And the installation of approximately 1415 new tanks. As we had mentioned, our supply and wholesale team made significant progress in driving our supply advantage through negotiating better buying prices. We have seen the upside of these efforts in our Q2 results and will continue to see the benefits moving forward. In the second quarter of 2016, we also welcome the team from Girard Bulk Service's to observe commercial and residential propane customers in southeastern Saskatchewan under the Bluewave Energy banner. This acquisition complements our existing operations and is a growth area for Parklands commercial business. Subsequent to the quarter, Parkland purchased the propane assets of Stony Propane for approximately 3.8 million. We would like to welcome the employees of Stony to the Parkland team. Stony Propane operates in established residential and commercial propane business in the Stony Plain and Spruce Grove region, west of Edmonton. Parkland will be servicing new customers under the Bluewave Energy banner. The transaction is expected to close on or prior to August 31st, 2016. Overall, our business continues to perform well in a difficult economic environment in Western Canada and the Bakken region in the US. Our team's relentless focus on managing operational effectiveness, building market share and making investments with good returns is delivering resilient results. A strong Q2 and year-to-date results coupled with the ongoing successful execution of a strategic plan, make us confident in our ability to deliver our 2016 guidance of 235 to 265 million in adjusted EBITDA. We are one of North America's fastest growing fuel marketers and we will continue to look for new opportunities to go profitably in 2016. We remain confident in our ability to achieve our 2016 guidance of 235 to 265 million in adjusted EBITDA. I'll now hand it over to Patricia.
Patricia van de Sande: Thanks, Bob and Mike. At this point I'll ask the operator to open the line for questions. Operator?
Operator: Thank you. [Operator Instructions] The first question is from Sabahat Khan of RBC Capital Markets. Please proceed.
Unidentified Analyst: Hi, this is David on behalf of Sabahat Khan. How are you?
Bob Espey: Hi David! How are you?
Unidentified Analyst: Hi, I am good. So just on the commercial segment volumes they looked quite good given the headwinds in western Canada. Are there any industries that you serve or parts of that segment that were particularly strong there and what’s your outlook for the commercial segment for the rest of the year?
Bob Espey: Yes. So volume in that segment is primarily through new wins particularly in the West. In the East we are pretty much static on year-over-year basis from the volume perspective. As well there was the small amounts not really material amount from P&L, I believe that was $4 million leaders that was added in the quarter. So the other thing and Mike noted we did incur higher operational expenses as we indicated we opened two new branches one in Lloydminster and the other in Bonneville and service new accounts in those areas that are recently been wanted in our part of that ramp up in volume and in the results there is approximately 1.1 million of additional operating expenses that wouldn’t have been there on year-over-year basis as we ramp up that volume. So as we look out into the next couple of quarters of the back half of the year, again the teams are mainly focused on three key areas. One is continuing to implement the new wins that we have and we will start to see those stream particularly in Q4. The second thing is operational effectiveness so the team is still deploying a number of operational improvements that are driven mainly by technology in the area of route planning that should allow us to capture some more efficiency and service our customers better. And then the third area is more wins. The team has been working very hard on its pipeline and we do continue to win business both on propane and diesel areas. So now that offsetting again I would say continued softness in the West we are seeing that start to level out there. So I am hopeful we will start to see that business grow on a year-over-year basis.
Unidentified Analyst: That’s great. Thanks for the color. And so looking at the retail side then as well you said you are starting to see the condition in Western Canada kind of stabilize there. Do you kind of see that on the retail side as well with respect to the operations in Western Canada?
Bob Espey: Yes, I mean we are still down on the year-over-year basis in the trailing quarters. We are not down as much we were in the previous year. It's again we are seeing that slowdown. The question is I don't really have a lot of as we look forward into the second half. Again I do expect it to be lower in the West we are adding in sites we did talk about opening a new site in West which we did with partner of ours who is a dealer and we have got a number of new sites in the pipeline in the West. But unlike commercial it takes more time for these things to ramp up. So you won't see the impact as quickly.
Unidentified Analyst: That's great. Thank you.
Operator: Thank you. The next question is from Michael Van Aelst of TD Securities. Please proceed.
Michael Van Aelst: Hi, good morning. Just a clarification. On the commercial fields did you say that volumes were going to increase in Q3 or just the trend would improve?
Bob Espey: We should actually see them go up in Q3 again there is continued softness so it's difficult to predict whether the wins will offset the losses at this point but I would expect as we start to stream that $100 million leaders of new wins in propane we will start to see certainly on the propane side year-over-year increases in volume.
Michael Van Aelst: And do you expect to see that volume from the new wins hit full run rate by Q4 or early next year?
Bob Espey: Yes, I would say by Q1 of next year what we call run rate but certainly in Q4 we will start to see a little bit quite nicely.
Michael Van Aelst: Okay and is that business that propane business is that typically margin dilutive to the segment?
Bob Espey: It is a change in mix. So again if you think about our commercial business at a macro level there are two major -- three types of customers within that bucket. One is the Home Heat small drop, propane and Home Heat which tends to be quite high margin and then you have got your commercial business which tends to be larger drop. So there is lower OpEx involved with that and it tends to be a lower margin and we do have a small wholesale business within that which would be very low margins. So as we implement these new wins which are all commercial in nature, you will see that the mix is changing and the overall margin will start to come down somewhat.
Michael Van Aelst: That's helpful. Thank you. And then looking at the pioneer synergies are you able to quantify them at all at this point and give us some kind of indications how they are split between cost and revenues?
Bob Espey: That is a good question. I think we should follow-up on that I mean we certainly do track that and we have a look back on it but I can't just speak to that to the top of my head and always the challenges once you integrate the business you have to isolate your existing business from the new business. But certainly on an overall basis we have seen strong performance on same store sales both in non-fuel and fuel. We have seen and that's been driven a lot of non-fuel have been driven by executing new operational and marketing programs and we have really seen in all the categories that are within the stores some good growth on the year-over-year basis and again we can provide you with more details on that subsequent to the call. Yes and then on the supply side so part of what you are seeing on the supply growth is due to us being able to basically get improved supply economics around that large volume of gasoline at 1.8 billion liters of gasoline that we run through the pioneer channel and we have able to improve our economics well above expectations.
Mike McMillan: Yes and distribution as well with that so.
Bob Espey: Yes and the distribution side, actually on the distribution side pioneer runs when we acquired pioneer and one of the things we were able to acquire was their distribution business and they run really efficient distribution model. It's a broker model. And we have been actually able to roll that out to parkland sites and get some cost improvements in our existing business. So again very just from my perspective pioneer is significantly over performed our expectations in terms of the scale benefits that we have achieved and then also the operating improvements we have been able to make to that business I think have been significant.
Michael Van Aelst: Okay. So if I read it all correct obviously the pioneer is doing very well. The legacy business in the West is seen volume declines and I would assume seeing same-store sales decline as well. But you also had growth in OpEx and MG&A excluding pioneer. So now that you are cycling the pioneer do you feel that the proper growth in the East can continue to offset the declines in the West?
Bob Espey: I would say certainly we still see some room for growth in the East and the business that we have there so I would expect that trend will continue as we get in to next year. I mean what I can predict is how low for how long. If oil does bump back down on the significant that could put more stress on the western economy. But again, I would also highlight that a large we are starting to offset that through gaining market share with new wins both on the wholesale side and on the commercial side. The one thing we didn't really talked about the other thing on our supply business and wholesale business we have also on the propane side specifically have opened up a number of new export accounts into the US and have really ramped up our propane business. So that's been a great offset as well. So the question is will the year-over-year I am sure we will do that. Again I can't predict where the economy is going exactly in Western Canada I would say that's the variable that's unknown right now.
Michael Van Aelst: Right I mean I was trying to get specifically at retail because that business is stood in very different similar obviously same business but in two different geographies that are performing --
Bob Espey: I think on retail again I am feeling very bullish around our Eastern business and the continued improvements that we are making many of which we have only have that business a year so these improvements are still flowing through on a year-over-year basis because it took us a while to ramp up and start making the changes. So, I would expect that's we should be able to offset the softness in the West with those improvements as we go forward here.
Mike McMillan: One of the things Michael we look at a little bit too is the conversion from four core to backward and the programs Bob mentioned certainly in the East we are seeing a nice trend in terms of more foot traffic into the back into the sea store. I think the tailwind that we also talked about in the past is just general regional economics when you think of eastern Canada or Ontario even the Canadian dollar it's not as sensitive as many thing in terms of gasoline but I think we are seeing a bit more activity in the East we are seeing given this time of year you tend to see maybe more people staying home on vacation and driving and more traffic from the self into tourist areas in East. So those aren't massive changes. We are talking percent but we are seeing some favorable tailwinds as well on that side of the business.
Michael Van Aelst: Okay and last quarter you gave us some metrics in terms of the key category growth inside the store at pioneer. Can you talk a little bit about that again?
Bob Espey: Again, we will follow-up with you on it. We do have that. I just don't have it on broken down quite nicely actually.
Michael Van Aelst: Al right. Last question then can you comment on what you think your debt capacity is right now and given what seems to be an active M&A environment whether you are seeing evaluations that you still consider reasonable?
Mike McMillan: Yes. So on the first part I think we mentioned our total funded debt has dropped down to about 1.6 or 1.7 times that includes our high yield senior debts. So, we are really well positioned. At this point I would say on a revolver for example we could write a check for an excess of 300 million for an acquisition. We do have [indiscernible] feature for 200 beyond that. So we would have I guess a couple of things. We would have about call it availability of the $0.5 billion not that we utilize it but we always like to keep a bit of a buffer for our capital, but also we have the self perspective that we put out there and that allow us to go out and raise a bit of money if we need to fairly effectively in both and equity. The aftermarket program we put out there again is the something that's there to fine tune our capital structure not something we risk capital with the replace of our deal but it is there to help us overtime raise a little bit as we need to and we haven't exercised that yet. We haven't had a need to. But so I would say all combined if you look at our revolver and our shelf we are well positioned for funding and market seems to be pretty receptive of that at the moment in terms of essentially access to capital specially for a good story and anything that's we have got some pretty positive feedback out there, as we have talked to investors around our story and growth opportunities but –
Bob Espey: I would say the other thing I would add I mean I think we you are absolutely right the market is quite active and we don't comment on any one particular process. Again what we demonstrate we demonstrate in the quarter there is also some small M&A that's quite attractive closing to propane businesses that attract evaluations, we are buying these businesses in the 5 to 6 times range and they not only are they great level tuck-ins, but they tend to expand our footprint where we can roll out our diesel and lubricant off as well so we do see a good pipeline of small opportunities as well that we continue to chose a way out.
Michael Van Aelst: Are you able to comment all on what you think the expectations are there for the larger ones whether they are reasonable or…?
Bob Espey: That's a good question. You don't really know until they transact whether they were reasonable or not. So yeah I mean that's again we have always said that good assets will be expensive and certainly if you can add the value through synergies and we have demonstrated that we have got through pioneer great opportunities through scale not only on the supply side but on the operating side you can start to see that there is certainly value there at higher prices.
Michael Van Aelst: In the past you have commented about 20% left in EBITDA from synergies, are you, given your gone through the large deal like pioneer are you seeing that would you be comfortable raising that exception on future large deals?
Bob Espey: I would say we are tracking ahead of that in the particular opportunity. We I would say it's dependent on the opportunity and certainly if we were to do a larger transaction we would give an indication of the synergies that we would expect overtime.
Michael Van Aelst: Alright, thank you.
Operator: Thank you. The next question is from Dirk Lever of AltaCorp Capital. Please proceed.
Bob Espey: Hi Dirk.
Dirk Lever: Good morning. You have announced that about the closing of on the run on October so how quickly can we expect you to roll this out at company sites and then how quickly could it be out of the dealer site?
Mike McMillan: It will take a while. It will take I would say and we haven't finalized the plan yet. The team still working on it here, but it will take good 24 to 36 months to roll it out completely and then on the dealer side and we do we will be buying a number of franchise agreements through that. So our first and foremost will be focused on retaining those and then building that through improving the offer. One of the opportunities that we see is we certainly believe that as a smaller organization parkland we can interface much closer with those franchisee and work much closer with them to make sure that the offer is relevant. The other thing Dirk that we would do is once we have the branding and we don't have yet, as we would run some pilots as well just to make sure that we can prove our hypothesis around same-store sales left before we would go in a major program but we do expect that it will have significant benefits to our business overall.
Dirk Lever: Right and then do you have an expectation for how much you will get on a fuel lift by increasing those back courts?
Bob Espey: Yes it's interesting I mean generally when we talk about pioneer is that in relation to pioneer or?
Dirk Lever: Yes it's more in relation to the on the run particularly on company size because and maybe even on some of the dealer sides where we get greater traffic.
Bob Espey: Certainly I would say anecdotally if you can pour people into the site you will get more gasoline sales what that conversion rate is I think it would be hard to predict it but I would say intuitively it should one will drive the other but no specific stats on it and again as we get more comfortable with our plan and start to prove it to the pilots will be able to provide much more color on that, so stay tuned we will give you to the information as we get it. All right and good luck with it.
Operator: Thank you. The next question is from Jason Zandberg of PI Financial. Please proceed.
Jason Zandberg: I just wanted to ask, you've mentioned that you're exporting some of your propane number was very stronger 20%, can you quantify how much of that was the export?
Bob Espey: We don't actually break it out, Jason in terms of the export and it does vary by market in terms of, "seasonally as well" I think we were alluding to just developing some new opportunities certainly with Elbow River and the real business, right and we continue to put in some locations where we can do some trends loading and in terms storage developing new market and so far, so probably provide a little bit more color especially as we get into the fall and we will be able to give you a little more indication, but again it is something that we tend to contain within that segment and don't breakup specifically?
Jason Zandberg: Okay and then hopefully you can answer this question I see that you closed on the 17 SO that were part of that on a run transaction you closed that on July 8. Can you provide a total value of those 17 that was closed?
Bob Espey: Again, on that one, what I would say is that we didn't disclose the transaction, but I think a part of that is two aspects which I guess I had mentioned, one is we operate the 17 sites under lease and now we operate it and own it and so we will see a bit of a shift between the owned and leased sort of expenditures, but I would also just sort of characterize it as we've got a value securing those sites and acquiring those sites, but it wasn't something that was material enough to this growth and so we didn’t break it out at this point. And you would see it in our leverage as well you wouldn't see much of a move in our leverage as a result of that closure.
Jason Zandberg: And then, just lastly, you continue to rationalize all your retail sales, we see that they are reduced by 10, obviously been the fact that procedure for you guys to be able to get more efficient sites running in the inefficient sites closed, do you expect that to continue the same pace for the rest of the year or what do you plan out these closures or, can you give us some color on that?
Bob Espey: Yes, that’s part of our network planning and, our key metric in that business is average volume per site, so in an industry that’s affectively flat, gasoline demand flat or slightly increasing and I think we're seeing in the last few years, we've seen about 1% growth in gasoline demand, by pruning the underperformers you drive the volume into your higher, your larger more productive sites which then impacts your net unit operating cost, right so your net unit operating cost comes down, so in essence site count is not a great metric, it's more about the productivity of individual sites and again our focus is always to have the best sites in terms of the strongest performing sites within the communities that we operate and to invest in those and build those and gain market share. And again, in an environment where the market is mature and growing relatively slow, I think our average volume per site outpaces that quite significantly, so that to me is the key indicator, like I said, net site count is not great. Now great example there as you may close a million dealer site but you've opened up a 5 million dealer site so and a fact, if you've last five one million dealer sites but opens one five million dealer to offset the volume, you've got far better productivity and far better profitability on a per site basis. Now once the sites pay after certain extent, you just become marginally profitable and it doesn't make sense to keep them going.
Mike McMillan: I think the other aspect Jason that we look at certainly is around, you look at the site, the larger site, the same storage sales for the back or call up the non-field component of our business and the focus on that site too, so certainly the volume throughput that we're trying to drive in terms of field volume, but also higher proportion of non-field on the form of say C-store and other part of the operation, certainly gives us resilient cash flow stable margins on a good component. And as Bob mentioned, as we execute productivity across each of the sites then I will drive on net operating cost especially with non-field contribution.
Operator: Thank you. The next question is from Trevor Johnson of National Bank Financials.
Trevor Johnson: Morning gentlemen. Just a quick one, with all the success that you're having from the C-store, same store sales growth in the east, is there any marketing or promotional initiatives or anything like that that you can highlight that maybe kind of cross -- to you existing legacy stores that have been working, just curious if there is any strategy that might?
Bob Espey: We do, we actually now have combined our marketing group, so we have one marketing group and they are running national promotions. We do will obviously change those for the different brands, but the actual underlying promotion is identical, so we've recently run promotions around fuel tied to loyalty and they've been consistent across the country so we leverage scale and across both businesses, it's interesting with our combined loyalty in the two businesses, we have loyalty plan that has 1.2 million members between our fast gas leader log and the pioneer bonus that’s a big loyalty program, nationally I think, hugged we recently and we're quite surprised that we are at sort of a top 10 in terms of Canadian loyalty programs and participation in that, so one of the initiatives that we have is to really leverage the loyalty data that we have, reward our existing loyal customers drive more people into the loyalty program. We can't participate in the promotional unless you do have a loyalty card so we've been able to increase the members in the loyalty program which improves the committed customers that come back on an ongoing basis. Now, the second thing that we've done is this effort to drive core promotions there that are pump side to drive people into the store to buy within the store. So again some good, some great focus marketing there and it's both across the country, it's difficult to get same store sales on a local basis, so whether we're outperforming and -- well we are seeing softness again year over year, 9indiscernible] is consistent year over year, it's hard to benchmark and say where we had against industry in the short term over the long term we get a better view of that, but again my expectation is that we're doing better than the industry in those markets.
Operator: There are no further questions registered at this time. I would now like to return the leading back over to [indiscernible]. Please proceed.
Patricia van de Sande: Well, thank you. Thanks for listening into our second quarter results. We do appreciate your ongoing support and look forward to chatting with you at the end of Q3.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time. We thank you for your participation.